Operator: Welcome to Liberty Media Corporation 2024 Second Quarter Earnings Conference Call. [Operator Instructions] As a reminder, this conference will be recorded today, August 8. I would now like to turn the call over to Clare Adams, Senior Manager, Investor Relations. Please go ahead.
Clare Adams: Good morning. Before we begin, we'd like to remind everyone that this call includes certain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual events or results could differ materially due to a number of risks and uncertainties, including those mentioned in the most recent Forms 10-K and 10-Q filed by Liberty Media and Atlanta Braves Holdings with the SEC. These forward-looking statements speak only as of the date of this call and Liberty Media and Atlanta Braves Holdings expressly disclaim any obligation or undertaking to disseminate any updates or revisions to any forward-looking statement contained herein to reflect any change in Liberty Media or Atlanta Braves Holdings' expectations with regard thereto or any change in events, conditions or circumstances on which any such statement is based. On today's call, we will discuss certain non-GAAP financial measures for Liberty Media, SiriusXM and Atlanta Braves Holdings, including adjusted OIBDA and adjusted EBITDA. The required definitions and reconciliations for Liberty Media, SiriusXM and Atlanta Braves Holdings Schedules 1 through 3 can be found at the end of the earnings press releases issued today, which are available on Liberty Media and Atlanta Braves Holdings website. Now I'd like to turn the call over to Greg Maffei, Liberty's President and CEO.
Greg Maffei: Thanks, Clare, and good morning to all. Today, speaking on the call, we will also have Formula One's President and CEO, Stefano Domenicali; Liberty's Chief Accounting and Principal Financial Officer, Brian Wendling; and also during Q&A, we will answer questions related to Atlanta Braves Holdings and Braves management will be available to answer them as well. So, beginning with Liberty SiriusXM, the transaction is progressing towards close. We've received SEC and FCC approvals. We've set the shareholder meeting date for August 23 and we expect to close on September 9. You may note the adjusted merger exchange ratio has been reset to reduce the shares of new Sirius by 90%. We expect the New Sirius share price will be higher at close because of that and we expect enhanced trading dynamics, including each increased potential for index inclusion. I look forward to remaining Chairman and a meaningful shareholder. Turning now to SiriusXM itself, the company maintains its strong financial position. Self-pay net adds improved sequentially and year-over-year, driven primarily by a reduction in voluntary churn. EBITDA was flat versus the prior year, but plus 8% versus the first quarter. We expect solid margin and cash generation through the balance of 2024. 2024 is also going to be a peak CapEx year and we expect to return to free cash flow growth in the coming years. We believe SiriusXM is attractive on a free cash flow multiple basis. Sirius continues to pursue growth opportunities. Beginning in the car with a new three-year subscription with a new vehicle purchase at certain automakers, free access, the first free ad-supported platform, which aims to increase trials and win back listeners and 360L is continuing to drive improved share of listening in the car. Looking at streaming, Sirius is launching new features and updates every month, and we've seen early improvements in multi-day listening. We've also seen increased engagement in the trial period versus the first quarter and finally, by pursuing smart unique content. The SmartLess podcast is kicking off its partnership in August with an exclusive subscriber event featuring Howard Stern, Jelly Roll and many more. Turning to Formula One Group. Despite early questions, this is turning out to be one of the most competitive seasons certainly in the start back to 2012. Across the first 14 races, we've seen seven different race winners and eight drivers have been on the podium. This is on -- we're on track to have the closest Constructors Championship across the top four since 2012 as well. The difference in time from front to back of grid at this point in the season is the closest also since the start of the current qualifying system in 2010. Looking at the 2020 driver market, continues to provide interest and excitement with Carlos Sainz going to Williams, Haas announcing Ocon joining as a current and -- current Ferrari reserve driver Bearman as well. Bearman is showcasing the pipeline of support Sirius talent that it's delivering to Formula 1. And the biggest open question remains what will Mercedes do with its open seat. Looking now at the financial results for F1, we had a great first half. Year-to-date revenues up 29% and OIBDA was plus 35%, partially driven by three additional races in the period this year. We announced LVCVA as an official partner. They're going to activate across 25 races in 2024 and 10 in 2025, and we continue to successfully scale partners brought in through LVGP. We remain excited about our sponsorship pipeline. Let me turn briefly to MotoGP. The transaction is progressing well. Regulatory filings are progressing on track. We've received foreign investment control clearance in both jurisdictions needed, Italy and Spain, and we recently received merger clearance in Brazil and Australia. We continue to expect the transaction to close by year-end. At MotoGP, the racing has been awesome. Pecco Bagnaia quickly closed the gap with Jorge Martin, but Martin just took the lead back in Silverstone. We are seeing a very competitive title fight now separated by only three points. And at MotoGP, 12 riders across 18 have been on the podium this season. Attendance is up across our races with a new all-time attendance record set at Le Mans and Germany was at 253,000 was up 8% off an already record 2023 attendance number. Similar to F1, rider movements are fueling excitement. We've also seen interesting movements in the Constructors Championship. Constructors a category rather with Pramac switching from Ducati to Yamaha next season. The summer break ended last weekend in Silverstone. We're excited for more action in the second half. Turning briefly to Quint, some of the second quarter highlights. We have the 150th Kentucky Derby, which was an enormous success, the largest single event executed in Quint history, serving over 12,000 customers per day. F1 Experiences has seen meaningful growth across eight races this year and we've completed inaugural activations for several new partnerships, including the WNBA All-Star Game and the Men's and Women's U.S. Open for the USGA. Turning to Live Nation, saw another record quarter with no signs of slowdown. 2024 is a year of AOI, amphitheaters and arenas and in the second quarter despite stadium activity being lower, concert attendance was up 5%, AOI was up 21% with record concert segment profitability, and this was one of the top five quarters in history for ticket sales. Revenue from on-site spending is also up double-digits year-to-date and cancellation rates for North America are tracking lower than last year. The ticketing and artist pipeline continues to expand globally. New artists have increased touring by 130% year-to-date and two-thirds of all total new enterprise tickets signed year-to-date are from international. Turning briefly to Venue Nation, we're continuing to see the enhancements made generate incremental revenue. Major festival's average per fan spend is up double-digits year-to-date. The amphitheater average per fan spend is also expected to grow by $2 per fan and Live Nation plans to open 14 major global venues across 2024 and 2025. Turning to the Braves, we've had strong performance from key players this season through last weekend. Ozuna led the National League with 86 RBIs. Since April 12, Sale has had a 2.64 ERA and Fried has had a 2.71 ERA, which ranked second and third respectively in the National League. Ahead of the trade deadline, the Braves announced the return of Jorge Soler to fill a key position in the outfield and right-handed pitcher Luke Jackson. Both players were on the 2021 World Series winning team. Fan demand remains strong, per caps up in ticketing and concessions year-over-year. There are 18,000 on the season ticket waitlist and we've seen a 90% renewal to date on season tickets for 2025. Several of the master planning projects completed earlier this year are already adding value and enhancing the fan experience. The new 60-foot six-inch Jim Beam Bar concessions are up double-digits versus 2023 concessions in the same location. Recently, they've announced further upgrades ahead of the 2025 season, including a new seating product, the Bullpen, which includes access to exclusive lounge underneath seats, an extension of the Coors Light Chop House seating area. Also, the Braves recently involved the -- unveiled the logo to kick-off the 2025 All-Star Game. The Braves are thrilled to host the All-Star Game. It's an incredible opportunity to showcase the Truist and the Battery sections. Now, I'll turn it over to Brian for more on our financial results.
Brian Wendling: Thank you, Greg, and good morning, everyone. At quarter end, Liberty SiriusXM Group had attributed cash of $88 million, excluding $100 million of cash held at SiriusXM. During the quarter, Liberty SiriusXM paid down $35 million under the margin loan using cash on hand. There's $1.1 billion of undrawn margin loan capacity as of quarter end. As of August 7, the value of our SiriusXM stock was $10 billion and we have $1.2 billion in principal amount of debt against these holdings. Total Liberty SiriusXM Group attributed principal amount of debt is $10.9 billion, which includes $9.1 billion of debt at SiriusXM. As Greg mentioned, the transaction with SiriusXM is expected to close on September 9. In connection with the transaction close, the 3.75% Liberty SiriusXM convertible notes and the 2.75% Sirius exchangeable notes will be assumed by New Sirius and the margin loan will be retired. Following transaction close, holders of the 2.75% exchangeable notes will have the right to require New Sirius to repurchase the notes and we would expect a substantial majority of holders will exercise this right. Turning to the Formula One Group, at quarter end, Formula One Group had attributed cash, liquid investments and monetizable public holdings of $1.5 billion, which includes $1.2 billion of cash at F1 and $58 million of cash at Quint. Total Formula One Group attributed principal amount of debt was $2.9 billion, which includes $2.4 billion of debt at F1, leaving $530 million at the corporate level. F1's $500 million revolver is undrawn and their leverage at quarter end is 1.3 times. MotoGP transaction is progressing well. We have syndicated all bridge financing commitments and reduced the total commitment from $2 billion to $1.65 billion. Note that the $1.65 billion commitment is expected to be replaced with a combination of cash and debt financing at the F1 OpCo level. We also entered into commitments for $150 million incremental Term Loan A at Formula 1 conditioned on the transaction close. And we obtained commitments from banks to provide Dorna with a new EUR150 million Term Loan A and an upsized EUR100 million revolver to be entered into after and subject to transaction closed and to be used by Dorna for general corporate purposes. Looking at the F1 business, I will again remind you that the business is best analyzed on an annual basis given variability in year-over-year race calendar. With that said, I'll make a few brief remarks on the quarterly results, but would very much encourage you to focus on the year-to-date results. During the quarter, F1 recognized a higher proportion of season-based income with eight out of 24 races occurring during the period compared to six out of 22 in the prior year period. Media rights and sponsorship revenue also increased due to contractual increase in fees and revenue from new agreements. Growth in F1 TV continues to benefit media rights revenue. Race promotion revenue was relatively flat given the mix of races with Australia and Azerbaijan dropping out of Q2 compared to last year with Japan, China, and Austria being added in the current period. Other revenue increased primarily due to higher hospitality and freight revenue, driven by the additional races. Adjusted OIBDA grew in the quarter as revenue growth more than offset increased costs due to higher pro rata recognition of team payments and the expectation of increased team payments for the full-year over 2023, as well as increased costs due to the additional races held and cost supporting revenue growth. Team payments are best viewed on a year-to-date basis and represented 61.9% of pre-team OIBDA for the first half of the year compared to 62.6% in the prior year. I would note Q2 and Q3 tend to have the highest percentage payout ratios based on the greater mix of European races in these quarters. Other costs of F1 revenue and SG&A are best viewed as a percent of total revenue for the year. Again, looking at it on a year-to-date basis, the adjusted OIBDA margin improved from 24.6% through Q2 '23 to 25.8% through Q2 '24. Looking briefly at corporate and other results in the second quarter, corporate and other revenue was $141 million, which includes Quint results and approximately $6 million of rental income related to the Las Vegas Grand Prix Plaza. Corporate and other adjusted OIBDA was $5 million in the second quarter and includes Quint results, Grand Prix Plaza rental income, offset by corporate expenses. Quint results in the second quarter were primarily driven by the Kentucky Derby and F1 Experiences across the eight races held. Reminder that Quint's business is seasonal with the largest and most profitable events taking place in Q2 and Q4. We expect corporate and other adjusted OIBDA will benefit from the rental income and the Quint results for the full-year. At the Liberty Live Group, there's attributed cash of $406 million and there's $400 million of undrawn margin loan capacity related to our Live Nation market loan. As of August 7, the value of the Live Nation stock -- our Live Nation stock was $6.3 billion and we have $1.2 billion in principal amount of debt against these holdings. Liberty and our consolidated subsidiaries are in compliance with their debt covenants at quarter end. Turning briefly to the Atlanta Braves Holdings, revenue grew in the second quarter despite three fewer home games compared to the last year. Baseball event revenue growth was driven by new sponsorship agreements as well as contractual increases on season tickets and existing sponsorship contracts. Broadcasting revenue grew as there were more total games between home and away played in the second quarter. Baseball operating costs increased in the second quarter, primarily due to higher player payroll, increased payments under MOB's revenue-sharing plan and higher minor league team and player expenses. The Battery continues to perform very well with revenue up 11% and adjusted OIBDA up 13% in the second quarter. Looking at the capital improvement projects around the ballpark, a reminder that the Braves are spending approximately $15 million related to the projects completed ahead of the 2024 season across the back half of 2023 and early '24. The Braves recently announced additional improvement projects to open ahead of the '25 season, primarily related to new seating options and expect to spend approximately $20 million on these projects across the back half of '24 and early '25. These are all high-returning projects that will generate incremental revenue for the Braves in the 2025 season. At the Battery, the Truist headquarters is progressing ahead of schedule, and we'd expect to hand that building over to Truist in September. Now I'll turn it over to Stefano to discuss Formula 1.
Stefano Domenicali: Thanks, Brian. The 2024 season is delivering incredible racing and action for our fans at home and our sold-out events. F1 continues to prove there is an incredible competition on track. Through 14 races this season, we have had seven different winners from four teams. The gaps between teams are getting closer both in qualifying and races. In Emilia, Max beat Lando by only seven-tenths of a second, following Lando's incredible win in Miami. In Monaco, we saw Charles Leclerc take his first home victory. In Canada, the gap between the top four in qualifying was one-tenth of a second and we have seen Mercedes return to the top step of the podium with George winning in Austria and Lewis setting his record ninth victory at Silverstone. Hungary saw another excellent race ending in Piastri's first F1 win with the McLaren 1 and 2 and Hamilton rounding out the podium. In Spa, we had an incredible race with very tight gaps throughout and the race led by being swapped multiple times. George Russell crossed the finish line first after a thrilling final lap battles against Lewis, but was disqualified after the race because the car did not meet the required weight, meaning Lewis took his second victory of the season, with Oscar Piastri second and Charles Leclerc third. By many measure, we have never had more competitive racing. I expect that the remainder of 2024 season will continue to deliver great racing for our fans. And as we look forward, the increasingly close racing offers very exciting prospect for 2025. The incredible competition on track is leading to even higher engagement as our diverse fan basis continues to grow. We have welcomed over 3.7 million attendees through the first 14 races of this season with the Canadian Grand Prix seeing record attendance of 350,000 and Silverstone matching its incredible 2023 record attendance of 480,000. We continue to see sold-out events and there is strong demand for the races still to come this season. On TV, we are seeing particularly strong numbers in key growth markets, including Australia, U.S., China, Canada, South Africa and the Middle East. Looking at the recent races, the Canadian Grand Prix was the most viewed live race ever in Canada. The British Grand Prix was impressively the most viewed live European races over on Sky U.K. and earned the largest overall weekend audience for the F1 in the U.K. since 2016. Looking at the U.S., five races this season have achieved record live viewership for their respective events, the Chinese, Miami, Monaco, Canadian and British Grand Prix. The Miami Grand Prix viewership peaked at 3.6 million on ABC and the 18 to 49 demographics averaged 1.3 million and the Sprint Races averaged 946,000 viewership on ESPN, the largest on the channel since we introduced the Sprint format in 2021. Our digital and social platform also continued to see very strong performance. We saw a 32% decrease in social media followers compared to 2023, driven by the success of the new channel, Threads and WhatsApp and accelerated growth on Instagram. We also have higher engagement with 4.1 billion video views and 880 million interaction on Instagram year-to-date. F1 TV continues to perform well. Total subscribers are up 11% year-over-year. And in the U.S. market, subscribers are up 16% year-over-year. As previously mentioned, we implemented F1 TV price increases for the first time across markets early this year, which have been well received with the limited upticks in churn. F1 TV continues to be an important and growing product. We also continue to see great results from our podcast this season. Total listens to all episodes of the F1 podcast, including Beyond the Great F1 Nation and F1 EXplain since launch in 2018 surpassed 125 million this quarter. The F1 EXplain podcast is engaging new and more diverse audience with 40% of the listeners in the U.S. market. A few weeks ago, we announced the 2025 spring calendar with races to take place at six events: China, Miami, Belgium, Austria, Brazil and Qatar. The spring continues to be a big success with the higher TV audience for the Friday sprint qualifying and Saturday sprint race compared to traditional practice session. The events also bring extra on-track action for our fans attending the events, providing additional values for promoters. 80% of fans surveyed after the Chinese Grand Prix said that they prefer the new sprint format and we look forward to maintaining the momentum in 2025. The F1 Academy season is also off to a strong start with the first three races completed in Saudi, Miami and Spain and the next race in Zandvoort. Abbi Pulling is leading the series with -- and recently become the first woman to win a British F4 races. American driver Chloe Chambers took first in race two in Barcelona with a dominant victory over Pulling. F1 Academy is growing engagement and attracting new fans. In the last 12 months, F1 Academy social media followers have increased by three times with a diverse follower base. 57% of the F1 Academy followers on Instagram are female, 57% are under 25 old and 83% are under 35 years old. Online coverage of F1 Academy across new sites and social reached almost 700 million Internet users. The Miami Grand Prix alone generated 14.7 million video views and 4 million interaction on social media with 2 million live viewers on broadcast TV. F1 Academy has also been engaging fans attending F1 events around the calendar. Given the success alongside F1 races weekend many of the promoter hosting F1 Academy events this year are lining up to the host again in 2025 and we've received interest from several other markets. Turning to commercial updates. On race promotion there continues to be significant demand from potential new race hosts. We do not currently intend to go above 24 races in a season as our duty is to ensure the right strategic balance for the long-term future of the sport. The added benefit of this demand with limited race slot creates increased incentives for promoters to innovate and improve the experience of races across the calendar. More promoters are committing to investments in their races. For example, Hungary has committed to significant refurbishment including a new pit building from 2026. We are also seeing example of great entertainment from promoters including the Barcelona Fan Event, Thursday Concert in Silvester and of course we look forward to returning to Las Vegas after an incredible show in 2023. We announced the 2025 calendar much earlier this year which gives the teams and promoters more time to prepare and market their events. We now continue to focus and optimize the calendar for 2026 and beyond. Our media rights we have some key renewal to address for 2026 including our deals across the Americas, U.S., Canada, Latin, Brazil and Mexico as well as across most of Asia including Japan. The continued growth of our diverse fan base around the world including the U.S. and demand from broadcasters means we are confident in the future of our media rights deals. We also continue to be excited about the amount of content F1 has to offer. Across race weekends, we have many events and lots of data provided by numerous cameras around the track and cars. We can offer our broadcast partners and the fans at home incredible access and insight into the weekend through all this content. Alongside this we are very pleased to once again deliver the F1 Kids program in this season for seven events. The feedback from 2023 was impressive and F1 Kids is providing to be a brilliant way to engage children in Formula 1 in a way that's accessible and fun for them. F1 Kids is available through broadcaster around the world via a live dedicated international feed of the Grand Prix. The feed features 3D graphics, child-friendly team radio transmission, technical explanation and a bespoke package of colorful graphics and animation including the cartoon driver's avatars and upgraded car delivery design. The production returned in Saudi followed by Monaco and Silverstone and will also be available for Dutch, Singapore, Sao Paolo, and Abu Dhabi Grand Prix later this season. Looking at sponsorship, we are confident in the pipeline with exciting conversation underway. We continue to have opportunities in categories such as financial services, consumer electronics, telco, and betting. We have also more closely integrated the sponsorship, licensing, hospitality, and marketing teams in a comprehensive strategy to optimize to grow the growth of our fandom and commercial opportunities. We are also continuing strong progress on fan engagement opportunities outside of race weekend. In partnership with Apple and Warner Brothers, we were delighted to recently confirm that the much-anticipated movie titled F1, starring Brad Pitt, directed by Joseph Kosinski and produced by Jerry Bruckheimer, will be released on the 25th of June 2025. We were excited to release the movie teaser during the build-up of the British Grand Prix. The theme is unique in that it is being filmed authentically during our racing weekend, and it will be a great opportunity for our sport to reach new fans and engage audiences. The sixth season of Drive to Survive, after reaching the top 10 on Netflix in over 40 markets, has seen its global audience of over 100 million viewers in the first five months since release. Across all six seasons to date, the cumulative audience for the series is close to 800 million. F1 Arcade continues to perform well, with high numbers of booking during both race and non-race weeks. The new Boston location has seen 50,000 guests in the first two months since launch. All three F1 Arcade venues hosted a ticketed watch party during the three day Silverstone race, and all venues sold out, with the London venues welcoming almost 600 guests. The ongoing success of the project means that in addition to the venues in London, Birmingham and Boston, F1 Arcade is planning to open new venues in Washington, D.C. in late 2024 and Las Vegas in 2025, with more to come. Following successful runs in Madrid and Vienna, the F1 exhibition has continued its successful road show in Toronto, which has been extended to mid-September, and will open in London later this month, showcasing the incredible history of the sport in the U.K. Even though the London show is not yet open, 60,000 tickets have already been sold. These are great examples of bringing fans and future fans into our sport through different routes, with a mix of F1, entertainment and hospitality. Our ESG program remain an important focus for the business. Earlier this year, we published our first impact report showing the progress we are making on our Net Zero 2030 commitment, as well as our diversity and inclusivity initiatives, both within our business and wider sport. A key part of our plans will be to move to fully sustainable fuel in 2026, which we believe could provide huge benefit as an innovative solution to decarbonize existing and future cars for both the F1 ecosystem and the broader automotive industry. This has been a very important reason behind Ford and Audi joining the sport in 2026. We continue to work closely with the teams, the FIA, partners and promoters to deliver on our commitment, as highlighted by recent events. The Silverstone event was powered by renewable energy, including over 2,000 solar panels and has increased the recycling at the event. Following success in also last year, there have been further trials of a low carbon energy system deployed to support activity across the path pit lane and broadcast compound that has been shown to reduce related emissions by 90%. Trials this year has taken place in Austria and Hungary, with the first scheduled for Monza. On diversity and inclusion, we were delighted to recently confirm that as a part of our program to provide education opportunities to our represented groups, 20 engineering students in the U.K. and Italy will become the latest recipient of the Formula One Engineering Scholarship over 2024 and 2025. Founded in 2021, the scholarship program addressed some of the key barriers to higher education for our represented students, including financial burden and access. By '25, 50 students will have entered the program. As I mentioned earlier, F1 Academy continues to go from strength to strength and is critical to our goal of developing and preparing young female drivers to progress to higher levels of competition. Eight female drivers, including five F1 Academy drivers, raced in round six of the F4 British Championship, which was the highest ever level of female participation in the championship. We also have a talented driver, Sophia Floersch, racing in FIA Formula 3 for Van Amersfoort Racing. This shows the huge importance of the FIA F3 and FIA F2 Pyramid run by Bruno Michel that continues to develop and nurture young talent to reach the very top of our sport. Creating the right structure for these talented female drivers and ensuring we have the right system in place to nurture talent at a young age is incredibly important. That is why we continue to be excited about our grassroots program, Discover Your Drive, to encourage and nurture females as young as eight to try to go karting. We remain focused on the long term goal and building a sustainable increase in female participation in motorsport. It has been a fantastic season so far, with more to come after the summer break. The interest in and demand for our sport continues to be huge, and I'm confident in our future. Avanti tutta, full speed ahead. And now I will turn the call back over to Greg. Thank you. Ciao.
Greg Maffei: Thanks, Stefano and Brian. Our Annual Investor Day will be Thursday, November 14 in New York City. Please note, we've moved to a new location. We'll look forward to seeing you at the Jazz at Lincoln Center. Save the date. Additional details will be provided soon. We hope to see many of you there. And with that, operator, let's open the line for questions.
Operator: [Operator Instructions] Our first question comes from Bryan Kraft with Deutsche Bank. Please proceed with your question.
Bryan Kraft: Hi, good morning. I wanted to ask what Formula 1 and its promoters are seeing in the coincident and leading indicators for F1 demand in terms of ticket sales, pricing, percentage sell-out, on-site spending or whatever metrics you look at. Has there been any moderation at all on the strength of demand? And maybe specifically if you could comment on what you're seeing since the Vegas tickets went on sale in late March? Thank you.
GregMaffei: Stefano, why don't you start and then I'll ask Rene to comment on Vegas.
Stefano Domenicali: Yes. Thank you, Greg. Thank you, Bryan. I mean, for what we can see as we have already announced, we don't see any kind of significant backdrop of any interest. I mean, we have sold out even in the events we had in front of us and there is still a very, very, very high interest. We are, of course, monitoring the situation on the events side because we know that in other area there is a sort of drop of that request. But this is something that we don't see at all in our championship.
Bryan Kraft: Encouraging to hear. Thank you.
Renee Wilm: And maybe just to focus a little bit on the Vegas portion of the question, I would say that what we're seeing in terms of ticket sales trends is consistent with what you would expect for a year two event. Also, U.S. is a last-minute market and Las Vegas is even more of a last-minute market. Year one is not necessarily the best comparison for a couple of reasons. First off, there was a longer sales cycle. We went on sale during our launch event, which was six months earlier than this year's on sale for year two. And there is just -- you cannot minimize just the excitement around the early demand that you see for a year one event. So, focusing directly onto year two, what we have done a little differently this year and a couple of our partners mentioned this earlier this week during their own earnings calls is really focus our marketing on the upcoming period. What we did last year was really market throughout the year. Again, it was a year-one event and we wanted to maintain the excitement and the momentum. But what we're seeing here is that leading three months up to an event, you're getting the most demand. So, we're putting our dry powder into the marketing spend that's upcoming and we're really excited about the demand that we're starting to see and expect to continue to see an uptick in.
Bryan Kraft: Thank you very much, Renee.
GregMaffei: Thank you, Bryan. Next question, please.
Operator: Our next question comes from Peter Supino with Wolfe Research. Please proceed with your question.
Peter Supino: Hi, good morning. I wanted to ask about promotion revenue at F1. It was relatively flat year-over-year despite the two additional races. And you cited event mix as the reason. I just wondered if you could give any more color on event mix specifically and how we should be thinking about those dynamics into 2024? And then I wanted to ask about the Concorde agreement and wondered if you have any fresh thoughts on that process? Thank you.
GregMaffei: Stefano, why don't I let Brian talk about the about the mix and then let you comment on the Concorde agreement.
Stefano Domenicali: Okay.
Brian Wendling: Yes. So, on the promoter mix, as we noted in our prepared remarks, you had Australia and Azerbaijan fall out, you had China, Austria, Japan and Emilia come back into the quarter for 2024. Obviously, each race has a different fee. So, when we say promoter mix, you're looking at different fees for each race, which has an impact there. As you look at the remainder of the year, you have pretty comparable quarters. As you look forward, Japan in -- in Q3, we'll have one less race with Japan basically falling out, but Azerbaijan coming back in and then Q4 looks pretty similar. So, again, we would just highlight that you look at the business on a year-to-date or full-year basis when available.
Stefano Domenicali: The second question on Concorde agreement. I would say, as we said the other time, I mean, it's all good because we have the right terms, the right relation with the team. And as you know, the Concorde is divided into three main pillars. One is financial, one is commercial, and one is related to governance. Everything is progressing very, very well. As you know, we are not in a rush to complete the long form, but everything is running smoothly as expected. And this is really great because the relation with the teams, with the FIA and with all the other stakeholders is very good in this moment. So, working and progressing in the right way. And of course, we are focusing to try to maximize the benefit to have the maximum joint commercial activities with all the teams and making sure that what we're going to sign up will be the right in term of division of the revenues between the team and the commercial right holder, but it's all great now.
Peter Supino: Thanks, Stefano.
Operator: Our next question comes from Ben Swinburne with Morgan Stanley. Please proceed with your question.
Ben Swinburne: Thanks. Good morning, everyone. I guess two questions, probably for Greg. Live Nation continues to perform really well from a business perspective with the stock obviously limited given the DOJ overhang. Just curious from your perspective, is there's any appetite from Liberty's point of view to think about a breakup of the company kind of proactively? Obviously, that's not the desired outcome from the lawsuit, but to the extent these things can take years to play out and limit the equity, if there's any thought that you would share on potentially exploring something like that? And then I don't know if you or Stefano want to take this, but what prevented the Andretti from joining F1? And obviously, there's just some DOJ noise there, I guess, keeping on theme, which I'm imagining you're probably not too worried about, but just curious if that's something that might be revisited in the future, if you think team expansion is something that makes sense for the sport and any comment would be interesting and helpful. Thanks.
GregMaffei: Okay. I'll take a cut. So, first on Live Nation, I think the business, as you heard and you noted, continues to operate very well. I think that the company operates fully within the law, has had a monitor in place for 14 years. And so any actions have been well known for a long time and we believe the charge of the DOJ are without merit, particularly the idea that somehow breaking it up with lower ticket prices. So, I don't think that remedy, which we don't think is in our interests or the interest of consumers is what the DOJ really wants if they actually understood what was wrong with the market. The fact is the market is driven by excess demand compared to supply that drives prices. So, I don't think a breakup is in the interest of Live Nation today or in the interest of the consumer, and we'll go forward. The plan at least as far as I understand is to go forward with the businesses we have. And the continued businesses what we believe will continue to operate very well through the base -- through 2024 and into 2025. Looking at Andretti, as you saw this morning, we announced that there is a DOJ investigation. We intend to fully cooperate with that investigation, including any related request for information. We believe our determination -- F1's determination was in compliance with all applicable U.S. antitrust laws and we've detailed the rationale for our decision vis-a-vis Andretti in prior statements. We are certainly not against the idea that any expansion is wrong. There is a methodology for expansion that requires approval of the FIA and the F1 and both groups have to meet -- find the criteria met. And we're certainly open to new entrants making applications and potentially being approved if those requirements are met.
Ben Swinburne: Thanks, Greg.
Operator: Our next question comes from David Joyce with Seaport Research Partners. Please proceed with your question.
David Joyce: A question on Quint. If you could please help us understand how the relationship worked before you acquired it in terms of, would they buy tickets from you on a wholesale basis as part of their wholesale hospitality packages? But now that it's inside, what are the impacts on revenue, expenses and EBITDA in terms of any eliminations from your activities, specifically at F1 events? Thanks.
GregMaffei: Maybe Renee is in a good position to take that.
Renee Wilm: Thanks, Greg. Thanks for the question on Quint. So, I would say prior to the acquisition, Quint was obviously a third-party vendor. They would acquire inventory directly from the promoters, particularly around secondary hospitality offerings. And then the relationship back to Formula 1 would be essentially that of a profit share arrangement. They did also provide some reseller capabilities with regard to Paddock Club for the teams as well as for F1 directly. Now that Quint is a subsidiary of Liberty Media, we have looked to integrate those businesses in a more -- in a closer manner, but while also still being cautious around leakage under the Concorde agreement. So, keeping -- really do keeping those business relationships on kind of a third-party basis. With regard to LVGP, we have directly integrated them and we've outsourced our sales team to Quint. They are running our sales and ticketing program, obviously, in partnership with myself and with Emily Prazer. And then their results will be consolidated up through Liberty Media with commission-based arrangement being paid to Formula 1, which commission-based payments then goes into the prize fund. Going forward, we are also going to be looking for new ways to really prove out the thesis around the acquisition and enable Quint to be a closer partner to all the promoters and to F1, but that is all in process still. I'll refer to Brian on the accounting question.
Brian Wendling: Yes. You can see on Page 3, the eliminations for the quarter that primarily represents the eliminations between Quint and Formula One. You also have the lease payment across from LVGP up to Liberty Corporate in there as well. But that largely represents Quint buying tickets from Formula 1 and then reselling them. But at the price that they're buying them from Formula 1.
David Joyce: I appreciate it. Thank you very much.
GregMaffei: Next question, please.
Operator: Our next question comes from Vijay Jayant with Evercore ISI. Please proceed with your question.
Vijay Jayant: Thanks. So, Greg, you've been now saying a few times that you're really excited about the sponsorship business. Obviously, that's probably the most opaque for us on the other side. Anything you could share on what it is and how meaningful is it going to be? There's obviously been some press reports that LVMH is going to be a new partner. So, anything on that would be really helpful. And then just also for Renee, on the Vegas race, just for clarity, your hotel partners that you sort of curate high in hospitality with rooms and everything, do they buy tickets from you directly and then do it or is it some other form of arrangement? Thanks.
GregMaffei: Thanks, Vijay. So, I'll comment a little bit on sponsorship and let Stefano add anything he wishes. Look, I think very excited about the sponsorship pipeline, excited about what Emily Prazer and her team, Johnny are doing there. We've seen continued interest from blue-chip clients who want to be involved at prices which are more attractive for us than historical levels and filling out categories that we previously had not had an entry in the sponsorship world. So, obviously, I can't comment on any rumored or unannounced deals, but I feel very good about the pipeline, feel very good about where we both are on those new entrants and on renewals at attractive prices from some of our existing players. Stefano, anything you want to add?
Stefano Domenicali: I couldn't agree more, Greg. I think that the numbers is proving the interest that is there in our business. And I think that now if you look-back just four years ago, we had only four -- global four and now we're heading to 10 and there is a big interest now, but the real point is to keep the quality of our partners with the right price level that we want to engage together. So, it's -- we are in a very, very strong situation. I believe, as I said, we have an incredible opportunity for our partners to create partnership between also themselves. So, it's a B2B relation that is having a multiplier effect and this is really what is important for our business to develop in the future. So, nothing to add, but as I said, just stay tuned because everything is looking forward -- looking very good for our future.
GregMaffei: Yes. And I think Stefano hit on some great points. I'll just add. It's not only the quality of the partners and what they're willing to pay, they're willing to pay because they are getting value out of it and they're finding ways to activate on -- at races, on the grid, on the -- around events in ways that are more meaningful for them and for us. So, all of those are very positive. Renee, what would you add?
Renee Wilm: I think that's an excellent point, Greg. Just to pick up on the sponsorship piece for a second, we really use the LVGP as the test-bed for how we can bring these marquee sponsors more deeply into the activations on track and in the fan zones. And I think one of the most important impacts of the Vegas race beyond the financial side is just the increase in interest in the pipeline, including with some of these marquee companies with whom we're speaking. So, a lot of excitement around the sponsorship portion. And then, Vijay, to answer your question, we do sell tickets to our hotel partners, which they then package into their own deals for their customers or obviously their -- I'm sure there are some comp arrangements for the big spenders who come to town for gambling. And then they'll come to us later in the year as they need more inventory. So, year one, we -- I'd day, they bought a lot of tickets very early on, again, to address that early demand that everyone saw for year one. And now this year, we are working closely with them to again do the marketing push and start filling those hotel rooms now that people are back from school and back-to-school, back from vacation and looking at their fall calendars.
Vijay Jayant: Great. Thanks so much.
GregMaffei: Thank you. Next question.
Operator: Our next question comes from David Karnovsky with JPMorgan. Please proceed with your question.
David Karnovsky: Hi, thank you. Greg, as you noted, really tight performance in the constructor standings, which is great to see. You do have new car and regs coming in 2026 and historically that kind of change has been associated with a temporary period of one team dominance. What confidence do you have that the rules you have put in place or will put into place can prevent that kind of outcome? And then, Stefano, as you noted, I think nearly all of your Americas deals are expiring this year and next year. Interested to know if you see any prospect for a multi-country deal and whether there'd be any benefit financially or otherwise for that type of structure? Thank you.
GregMaffei: I'll comment on the regs briefly, but I think Stefano could actually be -- articulate on them as well. We think the regs are designed to create more exciting racing, while also meeting many other goals around issues like sustainability and things that help our OEM partners drive innovation. So, we're trying to hit on multiple levels. I think people were doubtful about what these regs, how the regs would play out when we induced them last time. And by many measures, as we noted earlier, we've never had more competitive racing. Our hope is that the 2026 regs will do the same. But as you rightly note, somebody may figure out a way to get a jump and take an early lead, but we think they're designed to create more parity and more exciting racing and should over time. Stefano, what might you add?
Stefano Domenicali: I would say that this dilemma at the end of each cycle of regulation is there. And the things that F1 together with the FIA has always done, I totally believe so, has been to anticipate the need of that change. And we, of course, keep at the center the fact that we want to have a very good competition on track, give the possibility drivers to express themselves and making sure that with the budget cap combination and limitation development, teams can catch-up quicker to keep the gaps between the teams smaller. And -- but on the other side, we have the duty to anticipate the things that are relevant in terms of technology to keep at the center of our platform is so important. That's why two years ago, we had -- we took the decision of putting at the center the new power unit with sustainable fuel. There was the need to put that at the center because then in terms of technological challenges, this would appear at that moment to be the most important one. So, I do believe that -- I -- it's part of the game, teams are working already plan out for '26 because the regulation will be very, very different. But I'm sure that the ones that are very skeptical about what normally we try to anticipate, we will think differently as soon as we see the action on track. And as Greg was correctly saying before, I remember very clearly people without the experience thinking that the regulation that we are now in would have to slow down cash by more than six, seven seconds and not having this kind of situation. So, I think that we are doing the right thing and as always in life, you need to be brave to try to anticipate the thing the right way and that's what we did. On the second one, I think it's related to U.S. First of all, let me say that we are very happy with the ESPN, what they did for our sport and what they are doing since the beginning of our journey together. And we see now bigger interest for sure. And we see some other sport are trying to divide the package in a different way. But of course, that's a personal opinion. We're going to tackle that subject in the due course in the next couple of months. I do believe that, in U.S., we are still in a place where the awareness is very, very important. So, what I can say from a customer point of view, if you are not really on the spot on the sport, creating multiple offer is creating more confusion, let me put it this way. So, therefore, I would say, we need to make sure that the incredible demand that we have from different partners will be taken in the right way at the appropriate time. But for sure, yes, Martin will represent for us a big opportunity for the next years.
David Karnovsky: Thank you.
GregMaffei: Thank you. Next question, please.
Operator: Our next question is from Barton Crockett with Rosenblatt Securities. Please proceed with your question.
Barton Crockett: Hi, thanks for taking the questions. Two. The first one, hopefully is quick. On the race promotion revenue discussion with Formula 1, you guys I think have 24 races this year, I think 22 last year. Normally, I would assume that there's growth in promotion revenue per race, but given what we can see from the mix and what you think this year, is there any reason to think differently about that for 2024? So that's on Formula 1. On the Braves, switching gears a little bit, I was curious, you've been off of Comcast for most of the season because of their dispute with Diamond. Has that had any meaningful impact on the business in terms of fan interest or sales of anything or not? And if not, does it -- what does that say about the value of the TV promotion?
GregMaffei: So, I'll comment on the first one and I'll let, Derek, if you'd like to take the second. I think, Barton, your assumption that we get increases generally in race promotion fees is correct. Derek, do you want to take on the Braves impact of Diamond?
Derek Schiller: Sure. Thanks, Greg. Yes, obviously, we were off for three months and you never like to see carriage disputes. We're thankful that the carriage dispute is resolved. What I can tell you is there's really no material impact on our business. We've certainly seen a reduction during that period of time in ratings that is somewhat commiserate with the reduction in the carriage. Now that that's back, we'd expect that those ratings to also go up. So, we're glad that it's done and glad that they got that all resolved.
Barton Crockett: Did you guys try to do any type of additional streaming push to offset that? And if not, why not?
Derek Schiller: Well, the streaming rights are held at the league level right now, so those don't belong necessarily to Diamond. There's a provision inside of the agreement that's rather complicated as it relates to the streaming. Of course, in the future, should all these rights come back to us, I think we're prepared to evaluate all the different options including streaming.
GregMaffei: Thank you.
Operator: Our last question comes from Stephen Laszcyzk with Goldman Sachs. Please proceed with your question.
Stephen Laszcyzk: Hi, great. Thank you. Two on Formula 1. You called out the strong demand for race promotion and the commitments you're seeing for improved hospitality from promoters. Maybe a longer-term question here, but I'm curious how you would encourage us to think about the financial opportunity from improved hospitality over the next few years. Any goals perhaps on the Paddock Club capacity side of the equation? And then just quickly on team payments for Brian, you called out some of the seasonal aspects around the payout this year. Curious if there's anything more you'd be willing to add on how the dynamic works and perhaps what that can mean for the pace of operating leverage on team payments the rest of this year? Thank you.
GregMaffei: Stefano, do you want to take the Paddock Club issue and I will let Brian to add?
Stefano Domenicali: Yes. Thank you, Stephen. I mean, we have a quality problem to take on now for sure. That is the fact that we in almost all the events, we are sold out. And when we're talking about hospitality, what we were very good to do it is to try to maximize the different packages. Now the point is, if you want to add places with the right space and the right quality for the service that we're offering. There is the need, of course, to take a rate by rate situation to see what we can do with the promoters in terms of capacity, in terms of possible extension. And this is something that we are discussing. There are advanced situation, for example, with Australian promoters and with some others because for us, of course, it is a matter of experience. So, we cannot run the risk of overcrowding the hospitality area because the demand is very high. So, now we are seeing -- we are watching, as I said, with everyone what we can do in terms of having the possibility to expand this area to offer the right service for the ones that wants to have it.
Brian Wendling: Yes, Stephen, on the team payments part, I would point you to the year-to-date results there. So, we are at 61.9% on a U.S. GAAP basis pre-team, team payments as a percent of pre-team share OIBDA compared to 62.6% last year. We would expect some very minimal leverage as you go throughout the year and look to the end of the year, but it's fairly de minimis. But definitely focus on the year-to-date number, not the quarter.
Stephen Laszcyzk: Great. Thank you for that.
Greg Maffei: Operator, I believe that was our last question. Thank you to our listening audience for your interest in Liberty Media and the Atlanta Braves Holdings. We look forward to speaking with you next quarter, if not sooner.
Operator: This concludes today's conference. You may disconnect your lines at this time, and we thank you for your participation.